Stefan Ranstrand: Good morning, ladies and gentlemen. Welcome to the Second Quarter Result Announcement 2021 for TOMRA. My name is Stefan Ranstrand, I am the CEO of Tomra. With me today, I have Espen Gundersen, our CFO and Georgiana Radulescu, our I - head of IR. So, it would be a pleasure for me to take you through the second quarter results of today. Espen will later go through the financial details a little bit deeper. Next page please, Georgiana? So, it was a good quarter, something really to be proud of. Revenues increasing with 27%, strong development in Collection Solutions, strong development in Recycling Mining, so 43% and 33% respectively, growth there in revenues and growth in TOMRA Food 6% after adjustment for currencies. Now, when we talk about the strong growth numbers, we should of course not forget that last year second quarter was our worst quarter when it comes to the pandemic. So, here we are measuring ourselves against the weak quarter, but nevertheless, these are the numbers and they are strong. Gross margin was moving up, good contribution for Collection Solutions, predominantly product mix issues and operating expenses good control, they were increase by 5%. So, we are still lower on a - you know, running level since a lot of measures were taking during the pandemic. And we have still not yet come back to the - you know the same activity levels when it comes to being able to travel out and meet customers, taking part to trade shows and so on. So, the operating expenses are lower, but increasing with 5% quarter-on-quarter. Strong development in earnings EBITA, up 60% ending at NOK 465 million. Strong cash flow, resulting of the strong earnings and good working capital management. And all time high order intake growth of 38% for Recycling, Mining and Food combined. And we have positive momentum in all divisions, all segments in basic years [ph] in all geographies, which also now results in an all time high order backlog of just north of NOK 2 billion, which is up 25% compared to last year. So COVID is still affecting our business not dramatically and much better of course, compared to last year. We have some small hiccups or lockdowns in parts of the world, especially right now, maybe in Australia a bit more than anywhere else, but nothing dramatic. What more is challenging is of course, our inability to travel to meet customers, to service customers. And also delay in customer execution, we see that also on the revenue side, we could have delivered more, TOMRA was capable of delivering more, but the customers were not ready, especially when you have bigger complex installations, you need, you know, many suppliers to come in, you need more teams for installation for commissioning for starting up of the operations. And that is not running as smooth as we have experienced it in the past. Beyond that, we also have some challenges in terms of logistics. So hiring of containers, hiring of transport, both access to it and cost of it is increasing. And there are areas of components that are challenged as well. So for - our team has been doing a great job in securing deliveries. So right now and what we can anticipate, we are not affected negatively by access to components. But of course, prices are going up for them. It remains area of cautiousness. So most likely if it continues, situation will stabilize. But of course we know they are, you know, new virus variants out there and we just need to remain cautious and vigilant to the situation. But all in all, strong quarter as you can see. And yeah, with that I go to the next element. Yeah, that was two, but that's perfect. So Collection Solutions. All in all, very solid growth. For the quarter for the first half year, we have seen a tremendous development, much driven, of course, by the new market Holland here, which went live with a new deposit system or extended deposit system, we must say, July 1 this year. And that illustration you have on the top left - left corner is actually quite interesting, a little bit about the TOMRA story, which is, I would say unique. So, let me take you through that storyline. Remember, TOMRA was founded in 1972 and 1983 already, we thought Holland could be - ordinary lands could be an important market for us. So we established an entity there 1983. Then it took almost 20 years until something happened. 2001, the legislators, the Minister of Environment, decided that deposit on large bottles, bigger than 0.8 litres would be introduced. And that then went live in 2005. So again, 20 years after, a little bit more than 20 years after 1983. And that was only for large bottles remember. Then in 2012, the system was really under attack. The industry, different industry players tried to abolish it, tried to prove that it was possible to do a good result without and the government allowed them to test out alternative solutions, but they failed. They did not deliver on these assumptions, on these promises. And now we have a completely new situation, as of July 1 this year, also small PET bottles are included. And in 2022, we will then have large - aluminum cans also and then the system would be what we call a complete system. So this is really telling you a little bit about the long time it takes, the tenacity it takes from a play [ph] like TOMRA, to be there to support, to influence, demonstrate results, and so I never, never give up. And I must say our Dutch team here, together with our Governmental Affairs team have been working tremendously on this case, over the years, a lot of innovation, a lot of passion, many battles that we don't see in this illustration. So I'm quite proud of it. And again, if you follow TOMRA, this illustrates a little bit how we work and what makes us unique. And of course, our industry as such, is unique in itself. No one other industry has this deposit system, but they might have similar regulations. So good quarter, very solid quarter really, Espen will take you through the numbers. The story on Holland, which went live now in July 1, I think was worth talking about. Now, if you look at the right side, we have 1, 2, 3, 4, 5, 6 new markets coming up. If you look in a period of time about 12, little bit north of 12 months, starting January 2022, we are now expecting more new markets or market extensions than we have ever had in the history. So Slovakia, Latvia, which is, by the way, we were awarded the contract, as you remember and the contract was signed yesterday. So again, a great achievement there. Scotland, potential delay there, but hopefully not. Then we have the Netherlands, the second leg as I talked about the cans. Victoria and Australia and a modernization of the Connecticut system, which is very well appreciated by us. Connecticut has had a deposit system since many, many years. Now they're actually increasing the deposit value from NOK 0.05 to NOK 0.10 [ph], which we anticipate will lead to much higher collection volumes and a modernization and more robust system. So that was a challenge system in the past, I think this decision will hopefully bring it to good, hopefully world class system over time. So collection, they will actually be up for a little bit of a slower period now for a couple of quarters, Espen will talk about that. But there's a lot of potential in the future and a very strong now first half year here. With that I would like to move on to talk about Recycling and Mining. So recycling, as you know we are in the sorting of many ways to fractions. So everything from plastics, metals, household waste or municipal solid waste, we call that, industrial waste. We're talking about construction demolition waste. So in many sectors TOMRA has a leading position here with a global market share of estimated 55%. We were through a little bit slower period, three quarters last year we had a lower order intake. But now we have seen a robust rebound. And the growth here in this year of order intake of 30% that we see now, 38% I think. So strong - 48% sorry, strong comeback here in order intake, and also good revenues growth in the quarter. We have seen good drive through higher commodity prices, you can see on the top right figure here, the PET values, both for recycled PET rPET and for virgin PET. So the commodity prices are higher, that's important for industry, that's also an indication of higher demand. But we also had a good catch up now in metals. Metals has been weak during the year and commodity prices demand is increasing. We see global demand improving metal [ph] here. So again, this business is in a solid stage, and we anticipate it will be attractive also going forward. Some of the drivers here, there is a lot of potential to get much more plastic out of the household waste than we do today. So more than double the amount. And that's important, because in order to transform the world to circular economy, we need that feeds to - feedstock of material. So we need to learn how to extract the material out of municipal solid waste. And TOMRA is having the technologies to do that. So that's something we're going to work on, focusing on going forward. Then, of course, to increase quality demand. In order to use plastics, in new products, we need to raise the quality level, create standards. Here again, the high precision sorting of TOMRA is critical. I will talk a little bit about it, polystyrene shortly. And there I will give you an example of that. But that's critical. And this is a sector we see strong demand. So we actually - we talked about plastics upgrading. So in recycling facilities, where you need to now take it to a new level, making it you know, really top quality products or material. Then we have the regulations and financial incentives. We think the European plastic tax is very interesting and very important. You might recall that the European Union imposed a tax of €800 per turn, which is not far away from the tradable values of plastic, you can see that in the graph up there, so a significant amount. So if you use virgin plastics, you have to pay such a fee. If not, if you use recycled, you can avoid that one. So it's a stimulation for circular economy. You can see United Kingdom is having day [ph] tax £200 per tonne, Italy and Spain are going with tax of €450 per tonne. So things are happening here. But this initiative still has to shape up and be implemented fully. But it's a good signal. And it's a strong signal to the industry that things are happening and plastic cannot be wasted. It needs to be recycled. And that's all good for TOMRA. With that, I'd like to go over and talk a little bit about the Food business we have. So as you might recall, food was really challenged, especially the process side over the last two years. 2019 we had the trade war between European - with between US and China, which is still ongoing, affecting about $11 billion of food exports out of US to China. So that was a major disruption for the US food suppliers and still affecting them. And then of course the pandemic which hit the food service sector, which is about 50% of the Europe - US food consumption and 40% of the European food consumption. And when all these restaurants and catering food services close down due to the regulations, pandemic-related, they - that part of the business really died out. People continue to consume food, of course, so more through retail consumption and home consumption. But industry was affected badly. Now we see much more positive momentum, so process food is really coming back. We saw strong growth in potatoes, in nuts, which are a critical factor - categories for us and dried fruit. So that is coming back. But it's still not up to full momentum. But it's growing and the market sentiment is improving as we go on here. Fresh food was really never an issue. It's been hot demand, it's been strong market momentum throughout the pandemic, and still continues to be so. So for us, we see strong demand, particularly in cherries and kiwi fruit right now, also blueberries continues to be strong. And, as you know, TOMRA is also world number one in food sorting and grading with an estimated market share of some 30% globally in this big vast industry. So something really to watch out for the year and it's good to see that the market is, you know, strengthening, again. Some few highlights on the potato side here. You know, we sort about 30% to 40% of all potatoes being grown in the world. So that's a big category, as you know, we're big - yeah, breed of our products. And we peel some 70% to 80% of all the potatoes being processed into, say, french fries. And here, of course, now working with a data which we are investing in is increasingly important to maximize the yield, improve performance and helped the operators to reduce their burden to run. And so quarter-on-quarter potato was up 38%. So it's a good sign of what's happened in the Food business. Yeah, with that I’ll - happy to go to the next page. And that would be about circular economy. And this is a busy slide. So I hope I will be able to take you through it. As you know, we started our circular economy division 2019. So we recognized there would be a big movement, big demand for closed loop solutions, where you not only recycle, but you really take material back into new products. And we wanted to be leader in that segment and took a really, you know, strong drive and focus, put our best people into leading that business and building that business. And it's been shaping up tremendously. And today I want to talk about specific success. And that's the material called polystyrene, which stands for about 6% of the plastics. So it's not the biggest fraction, but it's an important fraction. Polystyrene, its very similar to PET, it has some unique properties, it has some barrier, so that you know the contamination from outside do not enter into the plastic. So that makes that plastic better for food grade. So PET and PS are good for food grade. But polystyrene has been under attack, it's been seen as a problem. And therefore, in 2018, the Styrenics industry formed Styrenics Circular Solutions, very much formed through the chemical industry in order to tackle their problem. And of course initially they were looking for chemical recycling of the material. And we then came in contact with the SCS in 2019 and in 2020 we joined them. We then started making some tests with the aim to show them that it's possible to deliver food grade polystyrene out of mechanical recycling, which is you know where we really have our long experience. And we started doing some manual works and then we implemented our new facility in Germany, together which we do with Borealis as we have talked about before and there we have not been able to process 40 tonnes for them and being able to prove that we can deliver 99.9% pure material out of normal household waste coming out to Germany and Norway. So really the source you want to address it from certain municipal solid waste getting collected from the consumers then extracting the polystyrene out of that, predominantly yogurt cans, treating that through sorting, washing, flaking, and making that into new product. Now we are at the stage that we are - have submitted our application to the European authorities and to Swiss food authorities to approve this product for food grade. And if that happens, we have really made, I would call a revolution in the industry. And this is exactly what TOMRA is about. This is exactly what we want to achieve with circular economy. So this is something to watch out for. And if we succeed with this, we should get a medal because this is really a big showcase for transforming how we can use waste and make new products, food grade out of that. And again, it's an important sector. So sorry for talking long, but I'm very excited about this whole initiative. And let's keep our fingers crossed, actually, that we go all the way and get it – food grade approved. With that, I will hand over to Espen and let him take you through the financials. Thank you.
Espen Gundersen: Thank you, Stefan. Yeah, as always, we took up currencies. We experienced in first quarter last year a significant depreciation of the Norwegian krone. And so the code figures we have for second quarter this year is very influenced by currencies and consequently at least we’ve got currency adjusted figures, as we have some headwind on currency, particularly against the dollar, but also against the euro. Moving to next page on the P&L. As Stefan said, it's really is strong month. We have 60% currency adjusted growth in the quarter. All the additions are contributing, but in particular, the Collection and Recycling divisions are 43, up 33 percentage points currency adjusted. So, in addition, we have improved gross margins. It's partly about somewhat lower margin in Collection last year, COVID-related, but also very strong mix effects on the market side, the collection this year. Cost is overall under good control. We have 12% of currency adjusted. But please also keep in mind the investments we are giving in circular economy, and we are now on NOK 50 million, round figures, on quarterly cost on circular economy initiatives from same quarter last year reported as part of the CRM divisions OpEx, and also all the ramp up cost in collections, which round figures was NOK 20 million last year, and now NOK 30 million. It's what we spent or run above was a normal for preparing for new markets because of all those opportunities that we see out there, which we need to position ourselves upon. So even with those increases, we see the quarter and that 465 and its driven 4% up from last year, its 17.3% EBITA margin. So actually very close to our long-term financial target over 18%. Of course, as I said, we have a low comp figure, we see comp figure because of second quarter last year was really the COVID quarter. But if we go back and also compare ourselves with second quarter '19, meaning going two years back, the figures are very strong. You'll see the graphs on the bottom left and bottom right, and see that yes, second quarter quite split out in a negative way. But second quarter this year is also standing out significant in a positive way, regardless of what you're comparing against. Moving to the divisions. We recorded [indiscernible] recurring revenues, almost 50% of revenues is service-related, which is kind of by definition, recurring. And the other part comes – then comes sales, but that's also recurring, [indiscernible] new machine. So the bottom, the Collection business is very steady, but muted on – its very much between [indiscernible] But then you have then some understanding, TOMRA's performance, it's important to understand when you have this even and we have been benefiting from the last two quarters, in particular driven balance, which Stefan mentioned, introduction on the deposit on small bottles with commencement 1st of July this year. And also Germany, which has veiled during September, get new requirements on security market leaders, which increase the price of the products on what – so we see additional orders coming in, have been delivered from the last. It did increase in revenues '21 versus '20. In the Europe its northern, its mainly stemming from Eastern markets and eastern event that we currently are benefiting from. On market size, as I mentioned, because of good mix and lot of comp figures and OpEx is increasing due to ramp-up costs, in particular. So bottom line, 20% EBITA margin in all other absolutely best margins we have ever reported in Collection history. Moving on to the Recycling/Mining. Starting on the bottom left, the order intake was hit by the COVID situation for the three last quarters, last year. But we have seen a good uptick starting first quarter and it continued this quarter. So we have an all-time high order backlog - order intake. Also the order backlog has increased, yeah, probably some project that have been somewhat delayed, not from our side, but smaller customers that are not prepared to take delivery because of the renders and so on has been delayed. So there are some challenges in that area. But it's also - even more normal, well, we probably could have delivered somewhat more out of the order backlog, but it gives us a good position going into third or fourth quarter with this high order backlog and the depth of good momentum that Stefan talked about. On the P&L we reported NOK 439 million in revenues, that's on the 60% conversion ratio we indicated last quarter. We have some OpEx increase, but remember investments are due in circular economy and bottom line NOK 94 million, 21% came in as a decent quarter. Moving on to Food. Again, looking at the order situation, I feel it was – its a very good trajectory before the COVID hit us looking at the intake development throughout '19. But then we got three COVID quarter over quarters, particularly the process segments did go down. Now we have increased order intake and it’s the third consecutive quarter with higher order intake and we also have built a strong backlog and also in food we have all-time high order backlog by the end of this quarter. On the P&L side, we indicated 75% conversion ratio and EBITA 72.5 so slightly bit low the indication, but we managed 43% on the margin side, very good OpEx control in food. So we are flattish in these currencies, it brings EBITA margin up to 14%. On the balance sheet, we - remember there are seasonality’s, the material recovery business in US is tying up working capital during the summer months because it mirrors the drinking consumption and we have higher activity and then high working capital during those months and quarters. So it's usually more meaningful to compare yourself with the balance sheet 12 months ago or not six months ago. And during that there's not really one item standing out if you adjust for currencies, so working capital has improved compared to one year ago and that also is reflected in the cash flow from operations, as you see on the graph on the top right side. So both second quarter and year-to-date, we are doing better on cash flow from operations started at - the same quarters and half years last year. Still a solid balance sheet close to 50% equity, low gearing, and this is also off during the development of NOK 3 per share that was paid out back in May. Now next slide. We have NOK 876 million of unused available funding sources, 2.5 years weighted our risk at maturity. So we are in a good position, access to cheap financing. So it's actually easy job to be the CFO of this company when it comes to financing, so I am privileged. Moving on to the outlook statements. We are no doubt very much influenced by - in a positive way by all the macro drivers that's what helps us. There's a lot of focus on green tech, clean tech companies but we are really in the middle of this. And there are very concrete demands out there, and we have a very concrete solutions for manual this – sensor based sorting solutions. It's really something that we all needs in all trade innovation, and finding solutions on the plastic challenges, and finding surplus solutions and so on, is really what the world is looking for. So I'm very optimistic and confident on the opportunities that we have in ahead of us. But the standard decision one of our board members said that through this third years in business, I've never seen the company with so many opportunities that TOMRA has today. And I think management also confirmed us. So the overall picture is no doubt looking very good. We also had to accept that to delivering upon these opportunities, to capture those opportunities we need to invest. So going forward, we also will need to increase costs compared to the cost base we have today. Its signals for all divisions and some quarters, you will probably see that OpEx increase higher than revenues for execution, the biggest execute on this. You also have to remember that we have been through a period of low or negative OpEx increase during the COVID period, no or very limited traveling, limited use of consultants, some certificate on hold to be on the cautious side. And when other things normalize and the markets opening up again, we also build factories [ph] and see some high cost in some quarters will happen because, of course, we have built more digital and we will not travel as much as we've done previously, but there will be more traveling for instance. So this will also be reflected in the constant in the quarters to compare. So this is all the things you have to take with you, when look at the total picture and the opportunities. If you go into the divisions in collection, there currently very high activity related to preparations for new markets. Stefan pointed out six, seven markets that has closed in time. There are also several others which are in pipeline. In metals [ph] we don’t have a firm date yet, but that is also likely that will materialize. So this will be some volatility around the core key performance in collection. We have had Netherlands and Germany in the last quarters. Germany will continue into third quarter, Netherlands will go down on the commencements on the first part of the race, its going to be started. Then we get Slovakia which should be compensate [indiscernible] timing a little uncertain how big our opportunity will be, still uncertain, but it's definitely a good opportunity [indiscernible] that will disappear then we going into next year getting locked here, which its throughput market, but consequently their revenue will come over time, and some startup costs. So this will also influence the performance. And then moving into second half of next year, you have many new markets that might materialize that will both cost in respect of investment, but also represent great revenue opportunities. So all in, I think that there will be opportunity quarters where OpEx increasing more than revenues. And in particular, the period between fourth quarter this year and second quarter next year, will be dependent upon the outcome of the board decisions and also the timing of the costs that will need to absorb to position our self for the coming quarters. Recycling/Mining, good momentum. We expect the conversion ratio of 60%, meaning revenues upcoming quarter will be 60% of the current order backlog. Again, this is not driving, just an indication for those of you that want to model us on the quarter basis. So in the long run, we think we are really set up for good growth. Short term still COVID could influence negatively, but both in the plastic side and also the commodity price increases in metals are helping these segments increasing the momentum and with the commercial data indicated you also see it's a good quarter coming up in recycling. In Food, the estimated commercial ratio of 70%, seven, zero percent, also that indicating a good quarter is coming up. Also a segment where COVID still potentially have some negative challenges but we are also confident in the meantime long term that we are in the right industry with the right products and good years are to come. I just want to mention currencies, remember, always adjust product as it fluctuates. Stefan mentioned also component shortage, transportation challenges. We are almost a global company, we are long value chain. So we are exposed to manual - the other risks that other companies are, I think in general, we have to have the situation under control. I don't think is to my knowledge that we have needed to delay and there will be risk to customers so far because of component shortages are open all these challenges, at least not in the material way. But just expecting [ph] we all managed to re-engineer and find ways around and going forward this development and risk - if the risk is under control. But we also want to point out that it is also negative influence us because of partnership partly out of control. It's not about us, it's ours about our suppliers and sub-suppliers ability to deliver upon their obligation towards us. So with that, I think we can turn the page. This is the [indiscernible] the presentation with us, maybe it's a good time to look at it back and reflect a little bit on what's involved us the last 10, 12 years [indiscernible]
Stefan Ranstrand: Yes. Thank you, Espen. Well, yeah, it's not so much to - I would actually like to talk more about the future and the past. But let's just go through a little bit to quickly. For me, I tell you, I think TOMRA is as close to what you can define as a perfect company. We have a very meaningful purpose for business. We do good for environment, for reducing food waste, for addressing greenhouse gas emissions, for reducing plastic waste in oceans, on land, by that also reducing greenhouse gas emissions. So the purpose is really strong, and we have the technologies that can transform industries to deliver better results and new solutions on that. So transformation is really key here. We have a super strong culture in TOMRA. And we have seen that, times over and over again, how the team's, I talked about Netherlands before, how they have fought that battle and they delivered on a very viable good solution. Look at how we build up Australia. Look at how people are now creating circular economy out of nothing, basically, and how our team in food is transforming their categories for both processed and food grade. And not last but not least, how collection is just, you know, coming into new growth trajectory. We have also been very privileged by having such good shareholders, like your good self, thank you. We have very few times had challenges, you have understood our need to invest, you have supported us in that. And you have supported us all in all. You are - and you have been stable. And you have also been rewarded, I think so. So that's good. But that's part of our job to deliver shareholder value. But really, we would like to thank you for that. And what we've done in the years, basically, when I started in 2009, it was 85% Collection business. We had then Recycling and Mining, as a kind of startup business. TOMRA was not growing. We have been able to grow it every year now, since then. We have built the Food division. We are now number one in the world in Collection Solutions. We're number one in the world in Mining and Recycling, and number one in Food. So strong player with very meaningful technologies, that has so much more potential. But - because when we add data and the connectivity to it in the future with artificial intelligence, extracting data, I think there's even more value out of it than we deliver today. So a lot of opportunities. And as we know, the word is really, you know, going our way, when it comes to the mega trends, when it comes to regulatory changes, it really calls for more of the TOMRA offering out there. Ultimately, we must never forget, we are here to deliver on values to our customers. So that's at the core of TOMRA everyday, everybody in TOMRA. So premium value to our customers is really what we do, with our technologies, with our service people, with our sales and consultants, and all the team behind. You know, we're thinking about R&D, operations, and administration. So we are all tuned in to serve our customers. We have expanded into Food, as I mentioned. We have also expanded in many geographies, so that we are reaching out more to almost every markets. We are in all continents now, where we have business, maybe not in the Antarctic and Arctic, but beyond that, really in all continents. And we are on a growth trajectory. I believe that TOMRA has much more potential in the future then we have delivered in the past. And that's more important to me than what we have delivered. So Tove Andersen will take over on August 16, I'm very happy for this choice of new leader and wish her all success in that role. It's a fantastic team she will be working with. And it's a fantastic business. And I also would like to finalize with saying that, we are now really playing in a different league. So if you think traditionally, most companies, they are a supplier of a technology. But look how TOMRA is moving beyond that. Now, taking the Collection business where we have a strategic partnership with CleanerWay [ph] in Australia. We're now looking for how we can do more in with Viridor. We're taking a bigger role than just supplying reverse vending machines. We are really being an integral part of that system, adding more value to the market, adding more value to TOMRA, and increasing the robustness. On top of that which is already strong development itself, we are stepping up and building this circular economy. And you know, if you're looking to the future, think of the big e-commerce players, like take in Amazon Alibaba, I just use a few names and there are many of them out there. They will - those who deliver products they will need to have sustainable packaging otherwise, their growth trajectory will be limited by regulations and by penalties. So they need to handle the waste they generate, they need to have sustainable packaging, that's something TOMRA can do. If they are on top of that delivering food products, like Indium [ph] or Alibaba are doing well, then they will also need the food supply. And they will need to guarantee the food quality. So the relevance and the way we tie this together now is actually very unique. And we have the sensor technology, as core and everything with you. And here we are continue to focusing and going forward, continue to invest in new markets, continue to innovate both when it comes to sensors, machines, and on the last but not least, digital side, makes me very excited. So I believe that closing the door now after 12 years, I'm very proud of what has been done, I express my gratitude from the bottom line of my heart to all of the TOMRA employees that have been supporting me and supporting the leadership team in this development to the shareholders to the board, and I can only wish you great success going forward. And I firmly believe TOMRA is going to be a greater success tomorrow than it was yesterday. So with that, I close and thank you. And now we open up for questions and answers.
Operator:
A - Georgiana Radulescu: Thank you, Stefan. We have - the first question is coming from [indiscernible] On Collection, you talked about modernization of the system in Connecticut, do you see orders on the short term and how big is the opportunity compared to European countries, like the Netherlands or Slovakia?
Espen Gundersen: Yeah. Connecticut has been a positive market for many years. But the same way as several other US markets. It's been $0.05 [ph] deposit markets and they are now increasing from a nickel to a dime in deposit and this will help the system in general because $0.05 [ph] was may be an okay amount to 20 years ago, but due to inflation and so on it starts to become a little irrelevant. So if you don't adjust the deposit values, the return rates will decrease. We can actually plot the return rates versus the deposit value around the world and see a very high correlation in markets like Germany, where will have €0.25 here, you have return rates around 98% in [indiscernible] markets in the northeast US for instance in the 60s at best. So, just the fact that they are doubling deposit amounts is positive for deposit system as such. There are also some more volume coming through and all carbonated drinks that are now be a part of the system. And important also is to increase the handling fee, meaning the retailers or redemption centers that are taking back the empties we will now get paid for this and this will make it more financial attractive to invest in technology and machines. I would assume from the top of my head there are bit more than 1000 machines in Connecticut today. And it will be possible to both renew ourselves on new machines, as this materialize. But it's not today. It's coming step wise the next years these initiatives. So, it is not something that we influence our reports material in the short term, but over the next years it will have a positive impact and also in particular, because you see that now the Northeast states in US are working in something on the deposit systems and that whole [indiscernible] time.
Georgiana Radulescu: Thank you. The next question is from Daniel Haugland from ABG.
Daniel Haugland: You mentioned higher commodity prices will negatively influence production costs of own product? Could you give some more color on this? To what degree are you able to pass this costs on to the customers?
Espen Gundersen: There is in general a cost increase on almost all obviously components on materials today. But I also think this is partly preliminary. The team started [indiscernible] I think some of these prices will go down again. But we like most of the companies do experience increased cost and we have processes to pass this on to the customers. I think customers in general are [indiscernible] of this and also some extent accepted. So that's – our cost in general has been 3%, 4% higher during the year due to this. I do not think in the long run we will continue to see this and that hopefully some of this will revert back over time also. This is how kind of precise I can be on this wonderful timing.
Georgiana Radulescu: Thank you, Stefan. I see we don't have other questions going forward. So if anything comes later on, we can answer it by email to the people who have sent us the question. So that was it from the Q&A side.
Stefan Ranstrand: Let me just say, Espen, Georgiana, thank you very much. It's been a privilege to be part of this team together with you. And thank you all TOMRA employees. I'm really feeling privileged, which - the support you have given me. Thank you.
Espen Gundersen: Thank you, Stefan.
Georgiana Radulescu: Thank you.